Operator: Good morning, and welcome to the Conference Call organized by Vidrala to present its 2023 Third Quarter Results. Vidrala will be represented in this meeting by Raul Gomez, CFO; and Inigo Mendieta, Head of IR. The presentation will be held in English. And in the Q&A session, questions will be also answered in Spanish. Nevertheless, it is strongly recommended to post questions in English in order to facilitate understanding of everyone. In the company website, www.vidrala.com, you will find available a presentation that will be used as a supporting material to cover this call as well as a link to access the webcast. Mr. Mendieta, you now have the floor.
Inigo Mendieta: Good morning to everyone, and thank you for the time that you dedicate to attend this call. As announced, Vidrala has published this morning its 2023 third quarter results. And additionally, we have also published the results presentation that will be used as supporting material to this conference call. Following this document, we will dedicate the first part of our exposition to briefly explain the figures released today, to devote afterwards as much time as necessary to discuss on the business performance in the Q&A session. So starting with the main magnitudes, in the nine months of 2023, we achieved as most relevant business figures, revenues of almost EUR 1.2 billion, and EBITDA above EUR 315 million, and a net income equivalent to an EPS EUR 6.01. Net debt at the end of the period stood at EUR 209 million, which is equivalent to a leverage ratio of 0.5x the reported EBITDA. Turning to Slide 4, we look at the top line performance analyzing the annual variation of revenue broken down by concept to arrive at a reported figure of EUR 1.194 million that as shown in the graph is the result of 18.6% growth on a constant currency basis. Volumes were down minus 6% considering a positive contribution of The Park of plus 2% in the first nine months while price mix effect was up 24%. Following the order of key business figures referred to at the beginning, we analyzed with the same breakdown the variation of operating income. 2023 nine months EBITDA amounted to EUR 315.6 million reflecting a constant currency growth of 100.1%. These operating figures resulted in an operating margin EBITDA over sales of 26.4% which represents an expansion of more than 10 percentage points compared to the 15.6% registered in the previous year that was as we all know affected by unprecedented inflationary pressures. Let's analyze now the free cash flow generation in detail. We will do so with the help of the chart on slide 8 which reconstruct the cash conversion year-to-date. So starting from an EBITDA margin of 26.4%, we have dedicated 9.9% of sales to investments and another 9.0% to the aggregate of working capital, financials and taxes. Still affected by exceptional working capital movements that are already reverting as anticipated. Finally, net debt at the end of the reported period close at EUR 209 million. This figure is the consequence of the just mentioned cash generation, our firm commitment to shareholder remuneration and the cash out for acquisition of The Park and a non-controlling minority stake in the share capital of Vidroporto. As a result, leverage ratio stands at 0.5x EBITDA. And now before turning to the Q&A session, I pass it over to Raul so that he can extract the main conclusions and make additional comments that he considers appropriate.
Raul Gomez: Good morning, everyone. Thank you, Inigo and thank you all for your time attending this call today. Well, we are today publishing results that are evidence of our business profile. I mean, under a weaker unexpected demand context, we have recovered margins and we are expanding profits and making the expected level of cash. Consistent with this, we do reiterate our previous guidance. So our revenue for the full year 2023 would grow by double digit and we still expect our margins to remain in line with our 25% EBITDA over sales target. We also see our profits reaching the expected level of EUR 7 per share and finally we should generate more than EUR 150 million of free cash in the full year, in the 12 months period. More, The more intense macroeconomic uncertainty is we are live in that led me say, let me remark that despite the recent volatility seen in packaging demand, shouldn’t or won't change the long-term natural resilience of our business. Anyway, I was saying this short time weakness will make us adapt the capacity, control inventories and put our focus on keeping our margins under control. But much more important under our view, this context further provides the credit deserved to [the duration] of our recent strategic actions. A strategic action that will make us grow and diversify the business and secure higher margins, profits and cash returns. Let me remind that we at the beginning of the year acquired the filling facilities in the UK named The Park. And in result, we are capturing new sales. We are improving our knowledge about the fundamentals of the packaging industry. And we are intensifying long-term partnership with customers that are strategic, making our business and our subsidiary in the UK Encirc and even more different packaging players with their unique, its unique in the world customer service approach. And maybe even more important today under current conditions, we are -- this is a big thing for us. We are entering a new market in Brazil through the acquisition of the Vidroporto that will offer us opportunities to grow that are becoming particularly valuable today under a more modest demand context. And finally, we are executing all this, maintaining, I would say, quite solid financial position. Thank you. Inigo, we may now go directly to the Q&A.
Inigo Mendieta : Perfect. So this completes our exposition, and we now give way to the Q&A session.
Operator: [Operator Instructions] And our first question comes from the line of Alberto Espelosin from JB Capital.
Alberto Espelosin: Good morning, Raul and Inigo. Can you hear me? Yes. Hello. Thank you for taking my questions. I have four, I might. My first question is on full year 2023 guidance. It seems fairly conservative after seeing the results of the first nine months. Mainly on margins and EPS. So [in my figures], for you to not give guidance, EBITDA margin in fourth quarter should be below 20%. So my question is why are you not raising your guidance? Is there bad low visibility for fourth quarter? My second question is on volumes for next year. What do you expect in terms of end consumer demand volumes? And so this is part of the study from your clients have been released. Also, what do you expect by the volumes for this quarter, will be great. My third question is on hedging. What are the common levels of hedging? And if only this skyrocket, if the conflict in the Middle East, do you think you would be able to increase prices as we did in 2022? Because it seems that the managed scenario is much weaker as of today. And last on free cash flow, which remains very healthy, are you looking for any further M&A? And if you could share the latest updates on Vidroporto, it would be great. Thank you.
Raul Gomez: Okay, Alberto, thank you very much. Well, your first question regarding our full year guidance, you're right, okay. We are very conscious that the intrinsic last quarter results in our guidance is guiding lower margins than in the first nine months of the year and this is something that is purely reasonable considering the seasonally normal weekend last quarter of every year, okay. It's true that we are seeing our margins levels at around 20% and this is consistent with a full year margin of 25%, okay. The reason for that is that demand is still somewhat weaker than initially expected or shorter than initially expected and the main reason is that if you include this in a natural last quarter of every year that is naturally weaker, that's the reason, okay, that the explanation of this 20% EBITDA margin for the last quarter of this year, okay. More important, going to your second question, okay, volume expectations for 2024. Well, I think that the demand conditions that we have seen today, the weakness that we are facing is abnormal, okay, if you take a look at the historical figures and can only be explained as a result of a simultaneous combination of different factors and some of these factors are temporary by nature, okay. I mean the last year comparison is quite challenging, this is one explanation. Second, customers that secure higher glass inventories a year ago are today probably destocking glass and finally say the macro factor on the restart, okay, some of these temporary factors will end. So we should see some sort of stabilization for recovery soon and maybe the macro factor will be the big question mark for 2024 but so far today it's difficult to say, it's unlikely to foresee for us and even more negative demand context or sales volumes scenario for us in 2024 in comparison with this 2023 that will end being significantly weaker than expected for all the industry, okay.
Inigo Mendieta : Okay, taking your third question, Alberto, on hedging, you know that we have policy that forces us to have at least one-third of our exposition for the next 12 months hedged. In this case, our levels of hedging at this point of the year are something in the range of 60% for the next 12 months, which implies a level of protection in the range of 50% for 2024, okay, at similar or slightly below current market levels.
Raul Gomez: And the last question regarding free cash flow and our uses of cash, well, it's true that we are generating the expected level of really strong amounts of cash. This is all as planned. We are where we were expecting to be at this level. The remainder of the year, we will further generate more cash. As you can see in the reiteration of our guidance at this level. But that won't change our priority in terms of use of cash. Our priority is M&A. We are actively involved in an M&A transaction that is Brazil. So hopefully, if everything goes as expected, most of the cash to be generated this year will be dedicated as planned to the acquisition of Vidroporto, okay. This case in terms of timing the message remains the same. We are happy shareholders of Vidroporto. We are learning over this valuable transaction period. We're probably making solid connections with our colleagues, administrations, customers, shareholders. We are providing some knowledge or assistance to these companies. These companies surely, and we are learning every day about what Brazil and Vidroporto means. And what we can say is that we are even more excited about the quality of the business, the assets, customer relationships and the management team. So, in definitive, we will complete this acquisition, that we aim to close this deal under a clean efficient agreement, avoiding any risk of legacies, once own legacies that today affected the majorities of holder are solved. Finally, you will ask this, the timing remains the same. We expect to close this transaction before the end of this year.
Operator: Our next question comes from the line of Francisco Ruiz from BNP Paribas.
Francisco Ruiz : Hello, good morning. First of all, I would like to congratulate Inigo for the next step that he's taking in a couple of days. I wish him a lot of happiness in the new stage. Three questions on my side. The first one is you have talked already about some stoppage of some furnaces in the coming quarters. Vidroporto has already announced some of them. How do you see, I mean the industry -- the rest of the industry performing on that stage and how do you see prices for next year? The second question is on working capital. If you could give us an idea of what was the working capital in this Q3 and what do you expect for the coming quarters? And finally, we're trying to make a reflection talking out loud. I mean if as I presumed your prices will decline a little bit in next year, but with a better demand and with this cost at a lower price than this year, it is likely that we will see EBITDA in absolute terms growing in 2024. Thank you.
Raul Gomez: Hey, thank you very much, Paco. Well, first question regarding our capacity control actions. Well, let me say that our utilization rate today is approximately at the levels of 80%. So this is quite a low number, less than optimal. And that will be another reason to explain our guidance and our margins expected for the remainder of the year, okay. This is more or less under control, as you can see in the reiteration of our guidance, but that will temporarily affect our margins and our cost absorption capabilities over the next three or four months, okay. We’ll know where the industry is, where our competitors are. I would say that we should be performing because of evident reasons that you will probably agree. We should be performing in terms of sales volume this year slightly better than the industry average because we do have the contribution of the -- capture of sales in the UK from the acquisition of The Park. So I will expect the industry to be as discipline as we are doing, so I should expect the utilization rates across the industry, at least the European glass industry, at the similar levels of this 80%, okay. But we are seeing simultaneously some round of cancellations or stoppages of projects that were announced to add capacity. And, okay, this is the level of this decline that when you give the example that you are mentioning, recent news from some of our competitors is a good example of what we should see in the future, okay. There is no reason so far under my view to be concerned about the lack of this decline in the industry under my view. And in any case, the Vidrala won't be a case of this, okay. Second point, and link it with this regarding prices. Well, in terms of prices, so far, we are still seeing inflation in many factors across the business. So we will have arguments to maintain our current pricing level or pricing initiatives till the end of the year. This is also another reason to maintain this confidence in our full year guidance. So now the eyes are put on 2024, okay. Looking at 2024, it is still too soon that we depend on the demand context, the competitive dynamics that we are discussing. But we do have a reference. And the reference is the 40% of our sales volumes agreements that are dictated by price formulas. The result of a typical price formula today for us are showing us a variation in 2024 in comparison with the full year 2023 of around the range of minus 5% to minus 10%. Nothing has changed since our last message on that sense. And if we are able to materialize this price adaptation that will be completely aligned with the underlying cost inflation that we are seeing, that will help us to secure margins and to maintain a neutral price to cost to spread. So if we combine this price cost scenario, let me remark then on the cost volatility we are seeing almost 60% of our energy position is fixed, at the levels that are aligned or slightly below market levels, as seen as I said before, for the next 12 months. So, okay, we are more or less protected on that sense. But if we combine this price cost conditions with some minimal recovery on demand, there is no reason to have any doubts about the sustainability of our profits into 2024, okay. Let me final remark that our long-term study targets never depended on top line growth. We have been particularly prudent in terms of our capacity actions, a steady capacity actions over the last five years. In 2024, we are basically to produce or we'll have an installed capacity that is the same capacity we had five years ago, and there are significantly improve cost mix, okay. We exit from Belgium and we replace this capacity selectively in the UK and Portugal. And we are an example of probably a particularly protected glass player if we are to see a weaker than expected demand context.
Inigo Mendieta : Perfect. And then, Paco, on working capital, as we reported for the nine months, we are generating almost EUR 90 million of free cash flow. All of this has been generated in the third quarter standalone because we were almost flat, you remember, in the first half of this year. And this includes, as Raul mentioning in the presentation, an effect of reverting working capital. This case, the effect is a positive effect in the third quarter of almost EUR 40 million, okay. And working capital movements are mainly explained by accounts receivable in the quarter.
Francisco Ruiz : So just a follow up, Raul. So if you are telling us that top line will decline this minus 5% on prices with no demand, but you think that EBITDA will grow, we will see a very positive impact in terms of volume next year. Sorry, in terms of marketing, sorry.
Raul Gomez: And while we are seeing, Paco, I'm trying to be a little bit more prudent or conservatism so far in that level. Okay, what we are seeing is that if we are to face adaptation of prices of between minus 5% to minus 10% that should be enough for us to maintain margins if demand recovers a little bit, okay. So I will -- I would say that is still too soon to foresee or to predict significant growth on operating profits in 2024, it is still a little bit too soon and we are all in this industry a little bit surprised about the weakness of demand we are facing, okay. This is not a big problem for Vidrala. That's a message. We don't depend on particular demand buoyancy to reach our strategic targets. This weakness is particularly making our M&A actions particularly efficient today. But let me say that it's time for us and you will probably understand it's time for us to keep a little bit conservative looking beyond 2024, okay, in terms of total or absolute profits.
Operator: The next question come from the line of Inigo Egusquiza from Kepler Capital.
Inigo Egusquiza: Thank you. Hello, Raul, Inigo. Thanks for taking my questions. Most of them have been already answered but just a follow-up, if I may. In terms of volumes. Can you explain a bit what have we seen in Q3, if my numbers are right volumes have corrected by double digits. So if you can elaborate a bit these volumes -- these negative volumes by markets and also by segments. I don't know if there is any difference between beer, wine and other segments and also between different geographies. Thank you.
Inigo Mendieta : Okay, Inigo, thank you very much for the question. As stated in the call, volumes for the nine months are down minus six and this includes a positive impact of The Park of plus two and prices are for the nine months in the range of 24% positive, okay. If we take a look at the quarter, as I understand is your question, volumes were down minus 10%. So you're right with your estimate and this includes also a similar effect of positive effect of The Park in the range of 2% and prices in the quarter have been up 19%. Okay. If we take a look at different regions, there are no big differences. We believe that demand performance is similar across regions. It is true that we are performing slightly better in the UK, probably because our particular business and the integration of The Park, that give us more visibility in terms of volumes especially relate on to this more weak demand context. And if we take a look at different families or product segments. Well, we see something similar, declines are generalized across segments. We could see some worse performance in beer, probably food and olive oil and spirits, which could be segments that are more cyclical. But again, we see declines all across the segments and that is something generalized and probably explained by, as we explained during the call by something more than pure organic demand.
Operator: The next question comes from the line of Jose Antonio Suarez Roig from CaixaBank.
Jose Roig: Hi, good morning, Inigo and Raul. Can you hear me? Perfect. So thank you very much for taking my questions. Most of them have already been solved, but I have a couple of them. First of all, you were mentioning that around 50% of your energy units for 2024 are hedged. Regarding the fourth quarter, what will be the percentage? And also regarding this question, you were also commenting that you were trying to demand a new hedging policy often declines to hedge their orders and how is this evolving, what percentage of sales the clients have been having, hedging this new formula you have been offered, how is it evolving? And also on volumes for 2024, Raul was mentioning that around, it will be like maybe slightly positive around neutral, slightly positive in terms of volume, but if we take into account that the destocking had around six points or six percentage points in terms of impact in sales in 2023, it will mean that end demand will drop around mid-single digit in 2024, and just to clarify, am I right? And also, we found that the hedging was under resilience of the industry, this is a very huge drop in number and if you compare it to 2008 crisis and why are you seeing such a strong drop in demand for the year, just a clarification why can we see a mid-single digit in demand for, because it's a very resilient industry and I want to see a little bit how the rationale behind.
Inigo Mendieta : Okay, thank you very much, José Antonio. On your first question, I repeat, hedging levels for the next 12 months in the range of 60%, 6, 0, and which implies something in the range of 50%, 5, 0 for the full year 2024, okay. For the last quarter of 2023, you can assume a hedging level that should be something around 85% of our exposure.
Raul Gomez: And regarding the second question about our prospects for some demand recovery in 2024, let's take the three prospectus we are seeing today. Okay, apparently demand in Europe, demand for glass companies in Europe is dropping by double digit and this is a historical negative variation if you take a look at the long-term historical statistics. So you will agree that it's just abnormal and that my view things that are abnormal are normally temporary, okay. You will probably agree with me that this is also not reflecting real consumption conditions of consumptions. Okay. This is not what is happening on the consumer side, okay. Obviously, the macro factor is impacting consumption of food and beverage, beverage sprouts, packaging glass or inedible that are not yet material, but not by that level of 10%. So it's evident that there is a significant amount difficult to quantify for us of temporary effects. Temporary effects that started five, four months ago, if you remember, in our numbers. So we should soon see an end of these temporary factors. And we should soon see a reversion of these temporary factors. And that should add some level of stability or even recovery in 2024. So what I think after this is that in 2024, we will see our sales volumes reflecting real demand consumption conditions. This is not the case today so far. Plus some recovery of these temporary factors. It's still too soon. We're still a bit surprised. Nothing dramatic, but a little bit surprised about the demand conditions we are seeing. That means that the level of stability we have in the short term is lower than usual. But we are planning some sales volumes recovery positive growth in 2024 in comparison with 2023. If that happens, that will repeat that or insist on these measures. That should also help us to maintain our price to cost spread under control, sustain it or making enable us to sustain our profits, margins, EBITDA and value. And don't forget this cash flow, okay, as long as CapEx for the current perimeter in 2024, following a pure calendar effect will be more relaxed than in the last two years.
Jose Roig: Perfect, just a clarification. So in terms of visibility, you're still like, depending on how you see things evolving for 2024, in a more advanced stage, you can clarify if demand will be stronger or not from an end perspective, but actually now you have enough visibility, right.
Inigo Mendieta : Yes, right.
Operator: There are no further questions by the telephone. I return the floor to Mr. Gomez and Mr. Mendieta. Thank you.
Inigo Mendieta : Okay, thank you very much. There are no, we have answered the questions via telephone. There are still some questions that we have received through the webcast. We have received several questions, okay, on capacity and supply, on M&A and Vidroporto on the breakdown on prices and volumes. So I think all of them have been already answered live. Please, if the ones that have asked these questions feel that they want to get some additional granularity, feel free to contact us after the call. Okay. Anyway, there are some questions that are still pending. The first one says, cash generation in Vidrala is extremely high and at the same time financial leverage is extremely low. Even taking into account Vidroporto acquisition, the high cash generation should lead to no financial debt in two years’ time. Additionally, Vidrala current share price is extremely low on any valuation ground. So would you consider this opportunity of low share price to buyback your own stock? And there is also a similar question saying that, okay, even given our free cash flow generation, if it is reasonable to expect an increase in dividend according to increase on profits. So both on shareholder remuneration and in terms of share buyback and dividends.
Raul Gomez: Okay, thank you, Inigo. Well, I understand well that this is a question about our shareholder remuneration policy expected for 2024 and beyond. I think it's a little bit soon to think about our dividend policy, our cash dividend policy for next year. We still need some time to make a proposal to the board, but you will understand that following. I agree in full with the comments of your question that following the confidence we are providing today with regards to our financial position, our cash profile, even the resulting financial position if we are to close the Brazilian study soon and following the cash that we are generating this year and the profits that we are making this year. There is no reason but to expect positive cash dividend growth in 2024. Okay. Maybe if things keep us expected in terms of cash generation, as we did in the past, we will deeply analyze with ambition. The potential combination of cash dividends growth with the share buyback programs. But this case will be monitored carefully on a frequent basis, and will depend on the execution of our M&A activity. Okay. The first priority use of cash will be M&A, the acquisition of Vidroporto. If this is completed soon as expected, and if the rest of the business performs as expected, okay, we should combine cash dividends growth with share buyback because this is a methodology, this is our tool to remunerate our shareholders that we like, and we have executed quite frequently over the last years. Nothing would change in that sense.
Inigo Mendieta : Perfect. So we have now answered all the questions. So once again, thank you for the time that you have dedicated to us this morning. Thank you, Paco, Inigo, for your congratulations. And just remind everyone that we remain at your complete disposal for any further questions. Thank you.
Raul Gomez: Thank you very much. Please eat and drink in glass. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect.